Operator: Good day ladies and gentlemen, and welcome to the OGE Energy Corporation’s Fourth Quarter 2015 Earnings Conference Call. At this time all participant lines are in a listen-only mode to reduce background noise, but later we will be conducting a question-and-answer session, instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to introduce your first speaker for today, Todd Tidwell. You have the floor, sir.
Todd Tidwell: Thank you, Andrew. Good morning everyone, and welcome to OGE Energy Corp’s fourth quarter 2015 earnings call. I’m Todd Tidwell, Director of Investor Relations, and with me today, I have Sean Trauschke, President and CEO of OGE Energy Corp; and Steve Merrill, CFO of OGE Energy Corp. In terms of the call today, we will first hear from Sean, followed by an explanation from Steve of year-end and fourth quarter results. And finally, as always, we will answer your questions. I would like to remind you that this conference is being webcast and you may follow along at our website at oge.com. In addition, the conference call and the accompanying slides will be archived following the call on that same website. Before we begin the presentation, I would like to direct your attention to the Safe Harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements and simply states that we cannot guarantee forward-looking financial results, but this is our best estimate to-date. I would also like to remind you that there is a Regulation G reconciliation for gross margin and ongoing earnings in the appendix along with projected capital expenditures. I will now turn the call over to Sean for his opening comment. Sean?
Sean Trauschke: Thank you, Todd. Good morning everyone, and thank you for joining us on today’s call. Earlier this morning we reported 2015 ongoing consolidated earnings of a $1.71 per share, compared to a $1.98 in 2014. For the fourth quarter earnings per share was $0.15 as compared to $0.29 last year. For the year the Utility reported a $1.35 per share, with a mild summer weather impacting earnings by about $0.09. Enable Midstream issued cash distributions to OGE of approximately a $140 million in 2015. While we are disappointed in the unit performance of Enable, it is providing the cash to OGE to help support our dividend in capital plans. As we have said before, Enable is strong enough and will manage through this cycle. Lastly, we are not going to comment on CenterPoint’s recent announcement regarding Enable interest. Any comments from us could be speculative in nature and as just not appropriate. Turning to the Utility, our service territory remains strong despite the pressure from the current commodity cycle. In 2015 we added almost 10,000 customers to the system, continuing customer growth at our historical rate of roughly 1%. As we all know, the significant drop in commodity prices has had an impact on our business as well as our community. Fortunately, state and local economics are much more diversified then they been in the past. The latest economics statistics for the Oklahoma City’s unemployment rate is just under 4%, and they stayed just over 4%. With that said, energy companies in Oklahoma have announced layoffs that are expected to increase our unemployment rate. We are closely monitoring the impact of low energy prices on the state economy and we’ll keep you posted if and when we begin to see a significant change in our sales growth. I would like to provide you an update on our regulatory events in both Arkansas and Oklahoma. In Oklahoma, we filed a general rate case in December with a test year ending June 30 of 2015. And as we have discussed before, the case focuses on two main issues. First, OG&E has terminated a wholesale generation contract for the benefit of retail customers that we are requesting to put into rates. The second, will be to recover plant put into services since our rate case including the retail portion of several transmission lines that OG&E has constructed at SPP’s direction over the past few years. Also in Oklahoma we filed an application two weeks ago, asking for approval of OG&E’s decision to install scrubbers at the Sooner plant. Lacking regulatory certainty, OG&E has suspended work on the current scrubber contracts until May 2, to give the commission time to consider our application. We believe construction would have to resume at this time in order to meet the January 4, 2019 compliance deadline. Without commission approval of our application, we will cancel the scrubber equipment and installation contracts and make plants to convert the Sooner coal units to natural gas. We believe that converting these units would sacrifice the recognized benefits of fuel diversity, and the typical cost advantage of the Sooner coal units compare to their operation if they were converted. Moving to Arkansas, we’ve made our second filing under Act 310 to recover the fit low-NOx burner placed in the service, as well as the four ACI systems. The filing was made in January and rates were put into effect this month. We will continue to update the filing every six months as additional compliance investments are placed into service. We also plan to file a general rate case in Arkansas this summer. Now let me provide you with an update on our environmental compliance progress today. Five of the seven low-NOx burners are in service and I would point out that they were in service on time and on budget. The remaining two will be completed this year to meet the spring 2017 compliance deadline. The ACI systems are in service, again, on time and on budget and are on undergoing final testing as we speak. Finally, the Supreme Court decision this month states the implementation of the clean power plant, pending the final judicial outcome in the courts. Oklahoma Attorney General, Scott Pruitt played a leading role in securing the stay from the Supreme Court. We will continue to monitor the development of the clean power plant in order to best position our company in future. Keeping in mind, we are reconfiguring our fleet between now and 2019, and we continue to evaluate how our units operate in the Southwest Power Pool day-ahead market. Since our last call, we certainly have had a great deal happening in the company beyond just regulatory activities. Although, regulatory is an important aspect, the main mission is on improving the product we provide to our customers. And I’m proud – you know, I’m very proud of the focus and determination of the team to continue to press forward and create value for customers. Late in 2015, we had two ice storms and once again our members’ performance was not only outstanding, but safe. The storms produced a high volume of outages with roughly 25% of all of our customers experiencing outage at one time or another. Operationally, our combined cycle plants continue to deliver outstanding reliability and performance. And in fact, our capacity factors for the year was in the top quartile for the industry. Turning into transmission, we have brought forward in our plans to construction of wind speed too, from completion in early 2021 to a completion date of mid-2018. This is 129-mile, 190 million transmission line from OG&E’s Woodward district to our Cimarron substation. When we sponsored and constructed the original wind speed line in 2010, we saw the need for additional – for an additional line, and we bought 200 feet right away and built compact structures with the ability to place a second line in that right away in the future. We chose the most economical way to build out the Woodward and still provide for a second circuit in the future. As a result of this proactive planning, these two single phase lines will require a 100 less feet right away over the 120 miles. This project is being completed at the directions of Southwest Power Pool to alleviate the congestion issues out in Western Oklahoma. We also continue to look for ways in which technology will improve the customer experience. Earlier this month our customer saw improved functionality with the second release of our estimated time of restoration project. This technology aims to proactively communicate to customers during outages. Customers will now see an outage alert with estimated restoration times when they sign into their account. Then just this week we went live with an upgraded call center technology platform providing more options for our customers. We strive to maintain a customer focused in everything that we do and believe it is enhanced services like this that have led to our number one J.D. Power residential customer satisfaction ratings for three years in a row. On the cost side, we continue to focus on controlling costs and increasing efficiency. And as a point of reference, our O&M cost per customer is lower today than it was in 2011. We continue to believe our businesses are strong and well positioned for the long-term growth and value creation. We’re on plan to achieve our Utility long-term growth rate of 3% to 5% and continue to grow our dividend of 10% through 2019. And this is an exciting times and we have challenges, but as a management team and as a company, we’re committed to executing on our strategy and continuing to grow our business. So with that, I’ll turn it over to Steve to review the results. Steve?
Steve Merrill: Thanks, Sean, and good morning everyone. For the fourth quarter we reported net income of $29 million or $0.15 per share as compared to net income of $58 million or $0.29 per share in 2014. The contribution by business unit on a comparative basis is listed on the slide. I’d like to point out that the holding company losses primarily due to expenses for new office space to consolidate Oklahoma City personnel and interest expense at the holding company. And for the full year 2015, we reported ongoing earnings of $342 million or a $1.71 per share as compared to net income of $396 million or a $1.98 per share in 2014. At OG&E net income for the quarter was $20 million or $0.10 per share as compared to net income of $37 million or $0.19 per share in 2014. For the quarter, gross margin decreased approximately $25 million primarily due to weather, lower wholesale transmission revenues, and the exploration of our wholesale generation contract, partially offset by new customer growth. Looking closer at weather, heating degree days were 18% below last year and 21% below normal, contributing to a decrease to margin of $17 million as compared to fourth quarter of 2014. Now looking at other key drivers, operating expenses were up slightly driven by higher depreciation, partially offset by lower O&M cost. Income tax expense decreased $7 million due to lower net income. Now turning to the full year, at OG&E, net income for the year was $269 million or $1.35 per share as compared to net income of $292 million or $1.46 per share in 2014. Gross margin for 2015 decreased $15 million, which I’ll discuss on the next slide. Looking at some of the key drivers for 2015 our O&M cost decreased $9 million or 2% for the year as we continue to focus on operational efficiencies to control costs. Depreciation was $29 million higher this year, primarily due to additional assets that were placed in the service. Other income increase nearly $9 million, primarily due to increased margins from the Guaranteed Flat Bill program and an increase in the tax gross up related to the higher AFEDC. Finally, income tax expense decreased $7 million or 6% primarily due to lower pre-tax income, partially offset by a reduction in federal tax credits. Turning to 2015 gross margin, Utility margins decreased approximately $15 million in 2015 compared to 2014. The primary reductions for the – primary drivers for the reduction in gross margin were as follows. Mild summer weather was translated into $20 million in lower gross margin as compared to 2014, compared to normal whether reduced margin by $28 million. On June 30, we had a wholesale power contract that expired reducing margin by approximately $12 million for the year. As we said before, this item has been included in the general rate case that was recently filed in Oklahoma. Finally, lower wholesale transmission revenues decreased margin by $20 million for the year, primarily due to an adjustment of the SPP formula rate to reflect the continuation of bonus depreciation. Partially offsetting those reductions, were growth from new customers added an additional $21 million in gross margin. We added nearly 9,800 new customers to the system compared to 2014. Finally, $14 million of gross margin was associated with change in sales and customer mix. Moving on to the environmental and Mustang Modernization spend, investments for 2016 are largely comprised of the Sooner’s scrubbers in the Mustang CT’s. There’s a small amount for low-NOx as five of the seven of those units have been completed today. ACI construction wrapped up in 2015 to be ready for the April 2016 compliance date. The Muskogee Natural Gas conversion projects spending will begin in 2018. As we have said before, we plan to run those coal unit as long as we can for the benefit of our customers. Turning to our investment in Enable, Enable make cash distributions of approximately $139 million to OGE in 2015. The fourth quarter 2015 distribution rate of $0.318 per unit was an increase of 3% over the fourth quarter of 2014. Turning to 2016 guidance at the Utility and assuming normal weather, we projected earnings per share to be between $1.44 to $1.50 per share. And for the Midstream business, we are projecting earnings contribution to be between $0.28 and $0.33 per average diluted share. We’re projecting consolidated earnings to be between $1.72 to $1.83 per share. Looking further into the assumptions for the Utility, we anticipate new Oklahoma rates will go into effect mid-2016. We are assuming gross margin on revenues to be between $1.405 billion and $1.415 billion, which is based on sales growth of approximately 1% on a weather adjusted basis. It’s also important to remember that OG&E has significant seasonality in its earnings. OG&E typically shows minimal earnings in the first and fourth quarters with the majority of earnings in the third quarter due to the seasonal nature of air conditioning demand. That concludes our prepared remarks today. We’ll now answer your questions. Andrew?
Operator: [Operator Instructions] Our first question comes from the line of Anthony Crowdell from Jefferies. Your line is open.
Anthony Crowdell: Hey, good morning, guys. Sean, I don't mean to come in pretty hot the first question, but…
Sean Trauschke: Good morning, Anthony.
Anthony Crowdell: Good morning. After the debate last night, I'm all charged up. I guess I'll save the Enable questions for everyone else, since you're probably not going to answer them. But if I just – a question on strategy, and I guess the uncertainty that the regional haze plan has placed over the stock. If I think about it, back in 2013, the regional haze requirement was issued, the Utility joined forces to stay fighting it, but you created regulatory uncertainty over the stock. The company, or state, lost the battle, you had to comply with the federal requirements. And investors thought the uncertainty was lifted. So now we move to December 2015, you guys file for pre-approval of the costs, the commission denies it, and it says that they are just denying the pre-approval and not the plan. So then I go three weeks later, Christmas break, you guys make another filing, take a second bite at the apple for approval of just the plan. And the commission still denies it. Why keep this regulatory uncertainty going into 2016? It's obvious the commission – you've already got two bites of the apple. Whether it's fuel diversity, or whatever it is, they are not valuing it. Why not just lift the uncertainty and go to gas?
Sean Trauschke: Right, okay. Thanks for the question, Anthony. So a couple things are going on there – so you’re exactly right, they have denied our request twice, two of the commissioners have. One commissioner has been supportive of it. I would also point out that the ALJ report approved the plan. The Attorney General is supportive of the plan. The Public Utility Division is supportive of the plan. One of the concerns that – one of the commissioners expressed was, we use the legislation House Bill 1910 that we’ve talked about previously. One of the commissioners was concerned about that, didn’t like to use of that. But that’s why this legislation was put in place for events just like this, for federal mandates, nevertheless, did not like that. So what we’ve done is we filed this last, and this is it, but we filed this last filing and this is just about Sooner. And what the uncertainty is, is we’re looking for that clarity, because we do have a lot of support in the state and in these filings for our plan. For whatever reason, the orders don’t support that. Nevertheless, of all those – all commissioners have supported our plan in one fashion or another during the testimony. They’ve supported fuel diversity, supported our plan. So, we’re – there’s some uncertainty there just in, the orders don’t line up with all of the support. Second thing on Sooner, so we’ve just made this under the General Authority of the Commission, we’re not filing under 1910. And quite frankly, this is just a referendum on the Sooner plan. We’ve got two options in order to run it past January of 2019. We can either scrub it or convert it. We believe the scrub plan is the right thing to do. And we’re doing this under their General Authority and we’ve asked for their decision. And so, Anthony, your point is, it’s not going on. It will come to an end here in May. We are committed that the scrubber is the right thing to do. We believe its right thing to do. We have a lot of support for it. But nevertheless, those two denials that you referenced, it puts us in a very difficult position when we finish the scrubber project and come in for recovery. Those two denials, the scales aren’t really level, and we will have to overcome that. And I think that’s a risk that we’re not going to take.
Anthony Crowdell: Is there a drop-dead date? I don't know, May 1 or May – just in case the proceeding gets delayed. I know that the commission has been very busy with earthquakes. It's like, May 10, and if it's not happening, we're not going forward?
Sean Trauschke: It’s May – we’ve requested an order by May 2. And so what we’ve done here is, when we went back to all of our suppliers, and we negotiated kind of a stop work. And basically we stopped the flow of funds because we’re getting ready to mobilize with the scrubber work in a real material way. We stopped that, we suspended work till May. But we obviously, in order to maintain the schedule, that can’t go on forever. So May 2, is kind of the date we’ve requested a response by.
Anthony Crowdell: Great. Thanks for taking my question guys.
Sean Trauschke: Thanks, Anthony. Take care.
Operator: Our next question comes from the line of Neel Mitra from Tudor, Pickering. Your line is open.
Neel Mitra: Hey, good morning.
Sean Trauschke: Hey, good morning, Neel.
Neel Mitra: The question on the Sooner application. So we didn't get the pre-approval late 2015, and you obviously made the filing for Sooner specifically. Has anything changed in the regulatory environment that would kind of hint that they are more willing to pre-approve the plan? Or are you just trying to basically break it down piece by piece, so it's easier to pre-approve those costs?
Sean Trauschke: Well, I think – so the Sooner plant, a couple of things have changed. There was some concern around utilizing 1910, we’ve removed that, we’ve taken that off the table. There was – as you know, there was a lot of interveners that were interested in doing different things. But that doesn’t have anything to do with the Sooner decision. So what we did is we removed the concern around the House Bill 1910 and we’ve simplified this and just made this about Sooner. And so that kind of removes a lot of the concerns and questions from some of the interveners out there. But to Anthony’s previous point, we did litigate this and support the Attorney General in the state all the way through, and so – and we do believe in this path. We’re looking for some clarity and some support here.
Neel Mitra: Got it. And then secondly, you're talking about possibly not going forward with the scrubbers, and going forward with conversion to gas. Does that eliminate risk? Because I know that Chairman Anthony has noted that he does favor fuel diversity. So does a lower cost necessarily preempt a higher chance of approval, or is it just less is on the table? So…
Sean Trauschke: Yes. Well, Neel, you just mentioned something that there in lines the clarity we’re seeking because you’re exactly right. Chairman Anthony has been a strong proponent of fuel diversity, and really understands and values the diversity. Nevertheless, he was one to have the denying vote. And so that’s why we’re seeking this clarity and making sure we’ve had many discussions to make sure that we understand. What exactly was the concern is the concern. And we think we’ve addressed that with this filing, but we will see.
Neel Mitra: Got it. And then last question on Enable, obviously, your partners are looking at different strategies for their state. How does that affect your interest in MLP? And how do you view that investment going forward?
Sean Trauschke: Yes. So, I mean we like this investment. We have a clear use of the cash coming out of Enable. That’s why we created this entity to become a source of cash for our company. We’ve earmarked that for our capital investments and our dividend. So, it doesn’t change our thinking on this. And to be honest with you, I don’t think the announcement that was made was positive for us or Enable. But nevertheless, we’re going to continue to move forward. And, as far as, anything that CenterPoint is thinking or and I don’t want to suggest that we do not have a good relationship. We do have a good relationship, but this was CenterPoint’s announcement, and they need to speak to it.
Neel Mitra: Got it. Okay, thank you very much.
Sean Trauschke: Thanks, Neel. Take care.
Neel Mitra: Thank you.
Operator: Our next question comes from the line of Charles Fishman from Morningstar. Your line is open.
Charles Fishman: Good morning.
Sean Trauschke: Good morning.
Charles Fishman: There’s obviously going to be substantial costs that have been incurred already at Sooner, as well as penalties, if you decide to cancel the scrubber project and go gas. Do you have a ballpark number for that? And then my follow-up would be, is there any precedent in Oklahoma for recovery of those costs? And how confident are you that they can be recovered?
Sean Trauschke: Today we’ve invested a $130 million into the Sooner project, that’s the number right there. And as I said before, we’ve suspended work. And there is precedent for recovering that. And we are confident that we would recover that.
Charles Fishman: With penalties, would that $130 million go up significantly?
Sean Trauschke: I think that’s – yes, that’s where we are at today, $130 million. And we don’t think it would materially change from that number.
Charles Fishman: Okay. And then my second question was on ongoing Holdco expenses that you indicated this year was, excuse me, 2015. Those expenses included an office building retro. Is there a number you could throw out for an ongoing Holdco?
Steve Merrill: Yes. Ongoing to be flat. I mean to be zero. So this was a one-off for this year.
Charles Fishman: Thank you, that’s all I have.
Sean Trauschke: Thank you.
Steve Merrill: Thank you.
Operator: Our next question comes from the line of Paul Patterson from Glenrock Associates. Your line is open.
Paul Patterson: Good morning.
Sean Trauschke: Good morning, Paul.
Paul Patterson: Just a couple things, when we spoke last – at the last quarterly call. I recall you guys were willing to potentially proceed without the approval. What changed with respect to – what changed I guess?
Sean Trauschke: Yes, so, we were willing to proceed without the implementation of the writer. We did not anticipate a denial of the plan or pre-approval of the plan. And so far my concern here is, is that when we bring the scrubbers in to recover them in 2018 – I don’t know what the administration will look like, I don’t know what the dynamics will be. But these two denials of the scrubber plan will work against – will kind of tilt the scales against us. And I think that’s a risk that we’re not going to take.
Paul Patterson: Fair enough, makes a lot of sense.
Sean Trauschke: Okay.
Paul Patterson: And then with respect to, I guess this is the follow-up on the earlier question, I mean in terms of, I mean I realize that there is House Bill, let me put I this way, is there – do you got any sense that an issue of rate fatigue or something else that’s more fundamentally happening in terms of – this kind of CapEx expense or do you feel simply something such as this House Bill that you’re talking about is the procedural process that you guys have been onto, that they don’t care for that? Do you follow what I’m saying?
Sean Trauschke: Yes. I don’t know that it’s a – I would it put it all on this House Bill 1910 that was – one desire or position of one commissioner. And I don’t know that its rate fatigue, I think it’s just the fact that this was very large, this is very complicated. This was an environmental mandate it’s been going on for many, many years as we tried to litigate this. And Paul, I think a lot of this is – there are a lot of – there were a lot of interveners in this proceeding, who have every right to share their opinion. But it’s – I think it’s really muddy the water a lot.
Paul Patterson: Okay. Yesterday the OCC voted to deny a motion to dismiss.
Sean Trauschke: Yes.
Paul Patterson: Any comment on that or how – what should we look into that? Is that simply a procedural thing? I mean, it’s just hard for us to tell being…
Sean Trauschke: Sure, so, this is on the Sooner plan. And I believe the Sierra Club had filed a motion to dismiss this request we made. And the commissioners voted against it.
Paul Patterson: Okay. But we should read anything into that as potentially being more receptive or just with some things sort of proceed through the motion and they simply said know about.
Sean Trauschke: Correct.
Paul Patterson: Okay. Yes, okay.
Sean Trauschke: We’re not forecasting anymore.
Steve Merrill: Okay. Look, first is Enable.
Paul Patterson: You guys mentioned how the cash flow is kind of important to you. Given the outlook that’s happening with commodity prices and everything else, how should we think about, just in just in general the strategic significance of this business, these are the, the rest of the company. In other words, why is this important for OGE to have – for OGE to have?
Sean Trauschke: Yes. So we are – we value this for – from a cash standpoint. And that’s how we look at Enable. And that’s why we created the MLP. We look at it truly on a cash basis. And we looked at in terms of utilizing another source of cash. And we’re utilizing some of those distributions to support our dividend. And our capital investments at the Utility and that is eliminated the need for any equity.
Paul Patterson: Okay. So, if we were to go away, I guess, we’d have to assume that there be a bigger demand for equity, but there be any impairment or issue associated with the dividend or the management…
Sean Trauschke: You jumped ahead on me, Paul. Where is it going? What do you mean it’s going, if it goes away?
Paul Patterson: Well, I mean, we’ve got a very low commodity price, I’m just wondering if there is emanation with respect to distributions going forward?
Sean Trauschke: Yes. So it’s – so Paul, we received last year about $140 million. And Enable did not put out distribution guidance, but they’re going update that quarterly. But we’ve know if Enable just kept at flat, we’re very comfortable with that position. Even if they went down to the MQD that’s not a material amount to us. This is not the sole source of our support of the dividend or funding our capital expenditure. So we feel extremely confident in our ability to manage through this plan without issue in equity and maintain our dividend growth rate.
Paul Patterson: Excellent. Thanks a lot guys.
Sean Trauschke: Thanks, Paul. Take care.
Operator: Our next question comes from the line of Paul Griffin from KeyBanc. Your line is open.
Paul Griffin: Good morning.
Sean Trauschke: Good morning.
Paul Griffin: Is the $17 million gross margin hit from weather versus normal or versus 2014?
Steve Merrill: For the quarter it’s about the same quarter – for the quarter or for normal it’s about the same, if you go on an annual basis it’s about $20 million less, $28 million less than normal and only $20 million from last year. But between quarter and normal, if you’re just looking at the fourth quarter in isolation, it’s roughly $17 million for both.
Paul Griffin: And can you just review – you have legislation that supports pre-approval or writer, I mean what – can you litigate this with the commission or what’s your strategy?
Sean Trauschke: The legislation basically provided that – to the extent that we had an environmental mandate that we could file the request approval of the plan and we would have the right, it was our right to implement a writer. So one of the concerns coming out of the commission was that they did not – he did not want – the commissioner did not want to approve the plan because they were concerned about us implementing the writer. That was our legal right. So, on the grounds of not wanting to approve – on the grounds of not wanting us to implement the writer voted against approving the plan.
Paul Griffin: The law does not require pre-approval, it requires – it allow the writer if it’s pre-approved?
Sean Trauschke: Right.
Paul Griffin: Got it, thanks. And then just in the current commodity surface, is that within the bookends you kind of contemplated when you say you trespass to the model?
Sean Trauschke: Yes, sure was.
Paul Griffin: Very good. Thank you, very much.
Sean Trauschke: Thanks.
Operator: Our Next question comes from the line of [indiscernible]. Your line is open.
Unidentified Analyst: Good morning. Thank you for taking my questions.
Sean Trauschke: Good morning.
Unidentified Analyst: Good morning. So just a follow-up from Paul Patterson’s question. I know you book has Enable as a source of cash. However, I just want to ask that on the earnings side, your 2016 guidance indicates roughly a 25% of decrease year-over-year from your 2015 in Enable earnings. However, this morning, with CenterPoint, your guidance CenterPoint,indicated approximately only 16% of increase year-over-year. So, would you please help me understand why there’s a difference? Thank you.
Sean Trauschke: Sure. Good question. I can’t speak to the CenterPoint guidance. What I would tell you is, we took the public guidance that Enable put out there. And we took the – our proportional ownership of that guidance. And as you know, we have some amortization that actually increases the earnings contribution to us about $0.08, but our number is straight from Enable. So we’re using that based on our LP ownership interest. So, I can’t speak to the CenterPoint guidance.
Unidentified Analyst: Okay. Seems like I don’t know, maybe I’ll ask them the same question, but maybe they’re taking the same method of calculation too. I just want to understand that.
Sean Trauschke: I don’t know. I really I can’t answer. I haven’t looked at that guidance. And I don’t know what they’ve done. But…
Unidentified Analyst: Okay.
Sean Trauschke: I want to be very clear. What we did is, we took the Enable guidance and took our proportional share of that, that’s what’s represented here.
Unidentified Analyst: Great. Great, well, thank you very much.
Sean Trauschke: You’re welcome. Have a great day.
Unidentified Analyst: You too. Thank you.
Operator: Thank you. Our next question comes from the line of Sarah Akers from Wells Fargo. Your line is open.
Sarah Akers: Hey, good morning.
Sean Trauschke: Hey, good morning, Sarah.
Sarah Akers: So, as we think about the 2016 Utility guidance, can you just help us understand what level of regulatory lag you expect to see in the first half of the year? And then the potential uplift in your earned ROE, when your rates become effective?
Steve Merrill: Sure. As far as the lag if you look at really the key components that are in the rate case, you’ve got the AVEC contract, after tax is about $11 million. You’ve got transmission, the retail portion of the transmission, that’s about a $8.5 million. And then you take a half year of those because we would expect to have rates in place the second half of the year. And then the environmental is about $6 million after tax. So, full year is about $0.06 for AVEC, about $0.04 for transmission, environmental is about $0.03, and assume about half of that.
Sarah Akers: Got it.
Steve Merrill: And then, I didn’t answer your question on ROE, what was your question?
Sarah Akers: Just in terms of in the back half of the year, what type of earned ROE would you expect once new rates are effective?
Steve Merrill: Yes, we’re not going to comment on that it depends on what order we get and what our ROE were allowed.
Sarah Akers: Sure. And then after this case, assuming no one hand recovery mechanisms are approved, when would you plan to file again for rate relief just to pick up the rest of that environmental planet and Mustang Modernization?
Steve Merrill: Sure the next rate case will towards the end of 2017 and would pick up the remaining two low-NOx burners and then pick up our Mustang CTs. We would time that to minimize any lag associated with that, but you could expect a filing towards the end of 2017.
Sarah Akers: Okay, so for new rates effective mid-18 at least on an interim basis?
Steve Merrill: That’s correct.
Sarah Akers: Got it. And then where are you in terms of evaluating new win for the portfolio? And does the CPP stay impact you’re thinking at all there?
Sean Trauschke: So Sarah this is Sean. The CPP doesn’t really impact our thinking. The stay are thinking on new generation with the planes we were undertaking with respect to regionalize. We thought we were in pretty good shape as the CPP plan went forward. We look at a lot of resources all time but we’ve got a lot on our plate right here and for recovery. And we’re focused on that.
Sarah Akers: Got it. And then last question is there anything on the legislative front related to either energy policy or rate recovery that we should be keeping an eye on here.
Sean Trauschke: Nothing on rate recovery we talked about it. The state is faced with a pretty sizable deficit. And so there’s a lot of legislation floating around. And we’re very involved with, with respect to taxes and incentives and things like that. So I don’t think at this stage there’s anything this that surface is paramount, but we’ll certainly keep you posted.
Sarah Akers: Got it. Thank you.
Sean Trauschke: Thank you.
Operator: Thank you. Our next question comes from the line of Bryan Russo from Ladenburg Thalmann. Your line is open.
Bryan Russo: Hi, good morning.
Sean Trauschke: Hey, good morning, Bryan.
Bryan Russo: Hey, could you just talk about the difference amount of investments of installing scrubbers at Sooner versus converting into gas. What’s kind of the dollar amount delta there?
Sean Trauschke: Yes. The Sooner scrubbers was probably in the $450 million, $500 million range. We’ve not done a lot of work with respect to converting the Sooner plant to natural gas. If we use Muskogee as a proxy because we are converting that plants probably in order of magnitude around $100 million, but we haven’t done a lot of engineering studies are done a whole lot of work. Obviously, we don’t think it’s the right thing to do. But nevertheless, that’s kind of the change there. And then you add the $130 million that we’ve invested up to this day to comply with the plan.
Bryan Russo: Okay. And in the event that you do convert Sooner to gas, how do you backfill that delta in the CapEx to maintain your CAGR?
Sean Trauschke: Yes, Bryan, we feel pretty good about our CAGR. And we don’t really think about it in terms of how we would backfill, we’re always looking for opportunities. But our CAGR is in – we’re okay.
Bryan Russo: And just to confirm that 3% to 5%, is that a Utility EPS CAGR?
Sean Trauschke: That’s Utility.
Bryan Russo: Okay. Okay, great. And approximately what percent of your annual margin, assuming whether normal, do you incur in the third and fourth quarter?
Sean Trauschke: It’s probably around 90% in the third and fourth quarters. So the vast majority – I’m sorry, I’m sorry, second and third is where it all comes from. So the tails were on the first and fourth quarter.
Bryan Russo: Okay. So 2Q and 3Q is 90%?
Sean Trauschke: Yes, that’s correct.
Bryan Russo: Okay. Okay. And what was the EPS impact of that office renovation that you mentioned earlier in the fourth quarter, what out of the $0.05?
Sean Trauschke: It’s about $0.04 of it.
Bryan Russo: Okay. Okay, great. And then just on Enable, could you maybe elaborate on the ownership structure I mean, do you have right of first refusal if your GP, LP partner decides to say, spend their interest off or to an outright sale?
Sean Trauschke: Yes, we do. So, in the partnership agreement we have – there are ROFO and ROFO rights, to the extent that one party was going to sell or do something with their interest or received an offer for that, and so that’s provided for.
Bryan Russo: And you have been just to remind us you’re 50% of the GP?
Sean Trauschke: 50% of the GP and we own 60% of the IDRs.
Bryan Russo: Okay, great. Thank you very much.
Sean Trauschke: Hey, thanks Bryan. Take care.
Operator: Thank you. Our next question comes from the line of Jay Dobson from Wunderlich. You line is open.
Jay Dobson: Sean, how are you?
Sean Trauschke: Hey, great, Jay, how you doing?
Jay Dobson: Great, thanks. Hey, just a quick follow-up on the last question regarding CapEx. Talk a little bit about in the event on or about May 2, do you decide not to go forward with this Sooner scrubber and CapEx is – call it a couple $300 million or $400 million lower. Where do you think you take that CapEx to backfill? What are we doing obviously you’re going to have the cash conversion which will take up maybe $100 million of that. But, what would we do. So its sort of a little more granularity on the sort of how do we get to the growth rate in the absence of Sooner CapEx on scrubber?
Sean Trauschke: Yes. And Jay, I appreciate the question because I think it’s important and I think we’re – we look at this maybe a little bit differently. Our investments were focused on creating value for our customers we want to keep our rates low. And so our philosophy is – I wanted to be positive for customers as well. And when we were faced with this regional haze this isn’t how we wanted to invest our dollars with this regional haze compliance. We’ve been very active on our grid trying to increase those products and services and functionality to our customers. And so to the extent that we did not have to utilize balance sheet on compliance, we would probably focus there. But again, I want to convey we’re not thinking about trying to invest just to grow earnings. We’re really trying to create value here for our customers I think that benefits us on the long run. We think our growth rate is fine either way. And I think the other point that I would make to you Jay is this. And this was not the reason we did it, it was just because of the value enhancing but we did bring as Steve mentioned the transmission line forward. And we’re going to bring that in Sooner rather than Writer. So that will actually fill some of that gap as you called it by itself.
Jay Dobson: Got you. Maybe I can ask the question differently. Because I appreciate the answer and I think most people on the phone wouldn’t agreed with you that the customer proposition sort of has to be at the heart of what you’re doing. So I wasn’t at all suggesting that we just sort of different way. But I – I appreciate. But I think where I’m sort of going is so in the absence of that spend what is the best use of that cash, is it customer systems, is it you said transmissions is a more of transmission. Is the wind is it better not to spend it. That’s sort of where I’m going. What are the best customer propositions in the absence of the Sooner scrubber?
Steve Merrill: I think it’s – and I would add in there, it’s probably an opportunity, that reduces our financing requirements as well on the debt side.
Jay Dobson: Absolutely.
Steve Merrill: Yes, I don’t think there’s – I don’t think we’re at the point. And again Jay, we’re – it’s, I believe it’s the – to scrub those Sooner units were still committed to that. We believe it’s the right decision except for there is a lot of support for that scrubber plant. And I think it’s the right thing to do so. We do have this filing out there and I think to the extent we are not successful. We will provide more clarity around, our capital going forward but this is where we’re at and we’re focused on the scrubbers.
Jay Dobson: Great, appreciate it. Look forward to May 2.
Sean Trauschke: Thanks, Jay. Take care.
Operator: Thank you. Hey, listen we have a follow-up from Paul Ridzon from KeyBanc. Your line is open.
Paul Ridzon: Just a quick accounting question, why was the renovation not capitalized?
Sean Trauschke: On the billing, yes, actually we were looking at consolidating our personnel, and we were going to be the anchor tenant in a new building. And we just with the economy changing, we decided and made a wise decision not to move forward on that. So these were capitalized costs.
Paul Ridzon: Okay. Thank you.
Operator: Thank you. And we have a question from the line of [indiscernible]. Your line is open.
Unidentified Analyst: Thank you. It’s actually [indiscernible]. Could you talk about your balance sheet and whether if you go forward with this scrubber CapEx or not, you guys have a pretty strong balance sheet, especially if the CapEx gets reduced? What you’ll be looking to do with your stronger balance sheet?
Sean Trauschke: I think, as it relates to the Utility, we’re going to continue to grow and invest in what I’d call, customer enhancing and value enhancing opportunities. I think, we’re going to look at some opportunities around our grid and around our system. We do have, as we look at our fleet, we do have retirements coming out into the future. So we’re going to have to provide more generation in the future. And as far as the balance sheet, we’ve worked hard to get here. I mean, this has been a very, very long journey and we intend to keep that balance sheet very strong, because it’s times like these, why you work hard to create a strong balance sheet. This is what, what gets you through some of these cycles. So I think we’re going to continue doing what we’ve been doing. I think is the short answer.
Unidentified Analyst: I guess if the CapEx is reduced, if the scrubbers don’t happen, is buyback an option? Or I guess, or you be just pushing to find new projects that need to be worked on?
Sean Trauschke: I don’t think those are viable option. I think we’re going to continue to press forward and were going to find good opportunities within our Utility jurisdiction to continue to grow.
Unidentified Analyst: Thank you.
Sean Trauschke: Thanks.
Operator: Thank you. That’s all the time that we have for questions for today. I would like to turn the call back over to Sean Trauschke for closing remarks.
Sean Trauschke: Thank you and I thank all of you for joining us today. We appreciate your support. And then to everyone here at the company, thank you again for your focus and dedication and have a great and safe day.